Operator: Good morning. And welcome to the Despegar Third Quarter '21 Earnings Conference Call. A slide presentation is accompanying today's webcast and is available in the Investors section of the company's website, investor.despegar.com. There will be an opportunity for you to ask questions at the end of today's presentation. This conference call is being recorded. As a reminder, all participants will be in listen-only mode. Now, I would like to turn the call over to Ms. Natalia Nirenberg, Investor Relations. Please go ahead.
Natalia Nirenberg: Good morning, everyone. And thanks for joining us today for a discussion of our third quarter 2021 results. In addition to reporting financial results in accordance with U.S. generally accepted accounting principles, we discuss certain non-GAAP financial measures and operating metrics, including foreign exchange neutral calculation. Investors should read the definitions of these measures and metrics included in our press release carefully to ensure that they understand them. Non-GAAP financial measures and operating metrics should not be considered in isolation, as substitute for or superior to GAAP financial measures and are provided as supplemental information only. Before we begin our prepared remarks, allow me to remind you that certain statements made during the course of the discussion may constitute forward-looking statements, which are based on management's current expectations and beliefs and are subject to a number of risks and uncertainties that could cause actual results to materially differ, including factors that may be beyond the company's control. This includes, but are not limited to, expectations and assumptions related to the impact of the COVID-19 pandemic and the integration and performance of the businesses we acquired, including Best Day and Koin. For a description of these risks, please refer to our filings with the Securities and Exchange Commission and our press release. Speaking on today's call is our CEO, Damián Scokin, who will provide an overview of the third quarter and update you on our strategic priorities. Alberto Lopez Gaffney, our CFO, will then discuss the quarter's financial results. After that, we'll open the call to your questions. Damián, please go ahead.
Damián Scokin: Thank you, Natalia. And good morning, everyone. Thank you for joining us and for your interest in Despegar. Our third quarter results demonstrate that the strategic initiative undertaken since the start of the pandemic and their successful execution at delivering improved margins when compared to 2019. Our performance this quarter underscores the future earnings power of the company. I'd like to touch on some highlights. We saw strong recovery across most of our markets, mainly driven by increased demand for domestic travel. International tourism is just starting to pick up as many countries resume opening their borders to fully vaccinated tourists. Thus our international transactions increased 120% sequentially coming from very low level. As a result, we reported sequential increases of 34% in gross bookings and 44% in transactions. This was driven by, first of all, capturing the pick-up in Brazil, Argentina and Chile, countries that were impacted in the prior quarter with the second wave of the virus. Second, another strong quarter in Colombia, where we observed significant pent-up demand. Mexico was the standout in the prior quarter and had a weaker performance in July and August and some of Best Day store could not open due to the restrictions that impacted some futuristic destinations. On a positive tone, our Mexican operations began the recovery in September. This has continued into October. Our geographic diversification has allowed us to capture growth and preservation as market recovers. We continue to closely monitor the key levers of the company, and we price marketing expenses and installments. After improvement in our management revenue turnkey [ph] we have been able to report stronger take rates than pre-pandemic, reaching 12.7% as reported and 13.7%, excluding extraordinary cancellations. Similar to past quarters, our take rate benefited from the investments we have made in technology and analytics, which allowed us to price more accurately, improving algorithms to capture more profitable transactions and the positive impact from Best Day, which has a higher take rate were also key contributors. At the same time, on a quarter-on-quarter basis, revenue growth was more than double the increase in cost of revenues. Lastly, operating expenses increased only 3% sequentially even as the investments in selling and marketing during the quarter were 36% up sequentially and in line with the increase in gross bookings. Our business leverages, the actions taken last year to improve profitability. This has allowed us to be very close to achieving adjusted EBITDA breakeven when excluding extraordinary charges, even with gross bookings at only 56% on the third quarter of 2019 level. Importantly, for the month of September, we achieved positive adjusted EBITDA, excluding extraordinary charges. This was an important milestone for us. We remain well capitalized with a healthy cash position of $276 million. Turning to slide four for a discussion on a few of our key markets. As various geographies have re-opened post-pandemic, consumers have shifted some spend towards travel and entertainment. Along these lines, Brazil and Colombia posted the highest level of gross bookings since the start of the pandemic. With most states releasing restrictions in July, gross bookings in the quarter were up 126% sequentially, and ASPs up 33% in the same period. By mid-September, several countries releasing restrictions allowing fully vaccinated Brazilian to travel overseas. Furthermore, as of November the 8th, fully vaccinated Brazilians are now allowed to travel to the US, showing proof of full vaccination. In Mexico, although borders remained open for flights, activities in main cities were particularly restricted to control an increase in COVID cases. These restrictions affected Best Day offline stores performance in July and August. On a positive note, gross bookings have been increasing month-over-month since August and international travel was stable on a sequential basis. Regarding the rest of LATAM, noteworthy Colombia was 22% [ph] above the third quarter of 2019, pre-pandemic level, reflecting pent-up demand as travel restrictions were lifted earlier in the year. In Argentina, we observed a sequential 150% increase in gross bookings. Finally, in Chile, gross bookings nearly doubled sequentially, and the significant growth trend continued into October. As we entered the fourth quarter, October continued with its positive trends across the region. Thus to summarize, our geographic diversification has been keen in providing a more consistent overall performance for the company. Turning to slide five. We have two really strong initiatives that we continue to deliver on and that I will discuss today. First, our loyalty program has been widely accepted, and we have reached the 1 million member milestone today as a part of [indiscernible] available in Brazil, Argentina and Mexico. In this regard, we recently signed an agreement to launch a co-branded credit card in Mexico in partnership with Invex and Mastercard. Also capitalizing on the increased travel demand, we launched our first offline marketing campaign since 2020. It's Time to Travel, Again, and can be seen across all medias in Latin America. In Brazil, we have been offering more financing options to customers. With Koin, we have further deepened penetration in Decolar, accounting for 6.5% of all transactions in the third week of October, with a record total purchase volume. Additionally, 5.5% of Decolar's transactions in October were paid through PIX, which results in much lower cost of revenue for Decolar, given that these transactions are processed internally. We also completed implementation of risk-based pricing in the travel vertical, which allows us to match the interest rate charge to the risk profile of different customers. On Koin's B2B business, we continue expanding the number of merchants in the e-commerce center, which will now provide alternative means for customers to pay via Boleto Parcelado, a buy now pay later payment solution. We now have 30 merchants signed up. We also added four new merchants in payments and fraud, bringing the total number of merchants to 10 year-to-date. Notably, Koin's total purchase value for the quarter tripled sequentially. As we look ahead, we expect to be adding more industries to our two verticals in the very near future. We see a very attractive potential for Koin service's buy now pay later and fraud prevention, which have a total addressable market of between $15 million and $20 billion in Latin America. I will now turn the call over to Alberto to discuss this quarter's financial results.
Alberto Gaffney: Thank you, Damian, and thank you all for joining us today. Turning to page six. As reported revenues increased 32% sequentially to 37% below third quarter '19 pre-pandemic levels compared with 39% below second quarter '19 levels in the prior quarter. Excluding extraordinary cancellations in connection with the COVID-19 pandemic, revenues would have been 32% below third quarter '19 levels. Note that this quarter, we also saw lower cancellations. The ratio of cancellation to gross bookings decreased 33 basis points quarter-on-quarter. Importantly, our take rate remains strong, reaching 12.7% as reported and 13.7% when excluding extraordinary cancellations. Key factors in this development were a contribution from Best Day [ph] an improvement in revenue management implemented since last year, which have allowed us to further optimize pricing through more advanced algorithms. Now please turn to slide seven. Moving on to profitability, we achieved the best quarterly adjusted EBITDA since the start of the COVID-19 pandemic in second quarter 2020. Despite posting gross bookings 44% below third quarter '19, we were very close to breakeven when excluding extraordinary targets. This is proof of the initiatives launched during this period, particularly in terms of cost reduction. Excluding extraordinary charges, comparable adjusted EBITDA neared breakeven, reaching a loss of $3.6 million, improving from losses of $10.5 million in the prior quarter and nearly $17 million in third quarter 2020. This compares with our comparable adjusted EBITDA gain of over $9 million in third quarter '19. Note that one-time charges were nearly $7 million in the quarter, mainly in connection with extraordinary cancellations resulting from the surge in COVID-19 cases compared to non-recurring charges of $12 million in second quarter 2021. We are confident that Despegar will be coming out of the pandemic as a more profitable company, better diversified, both from a geographic and product mix perspective, backed by a more sustainable business model. Now please turn to slide eight. We closed the quarter with a solid cash position of $276 million. As travel conditions improved, use of cash during the quarter increased to nearly $40 million. Recall that in the second quarter, we have granted a higher number of vouchers to customers whose travel plans were impacted by a spike in COVID cases, mainly in Brazil. While this resulted in a lower use of cash of close to $10 million in second quarter '21 with better travel conditions in this past quarter, we saw a pickup in demand with customers we're giving travel vouchers. The redemption of these vouchers added $15 million to the cash burn that we have reported recently of $25 million. In turn, our net payable position decreased nearly $20 million in the quarter. Now please turn to slide nine, for the key takeaways of the quarter. First, we delivered a strong sequential recovery, driven by better performance across our key markets, except for Mexico this quarter. Brazil, lead the recovery with gross bookings up 126% sequential, but still 60% below '19 levels. Colombia also showed a strong pent-up with gross bookings exceeding third quarter '19 levels by 32%. Second, EBITDA, excluding cancelations in neared breakeven, even with gross bookings still 44% below '19 levels. The initiatives implemented since the start of the pandemic have significantly strengthened the earnings power of the company. This positive trend in profitability continued into September with adjusted EBITDA reaching breakeven levels when excluding extraordinary cancellations. Fourth, we continue to deepen customer engagement with our loyalty program, reaching the 1 million member milestone in Argentina, Brazil and Mexico combined. As demand has picked up, we also launched our first offline marketing campaign since second quarter last year. Finally, on the ESG front, we launched our materiality survey last month and look forward to sharing the results in our next ESG report. Now please turn to slide 10 for final remarks. Despite ongoing volatility and some micro murkiness, our long-term vision is, if anything, in sharper focus. The initiatives required to realize it are fully underway, even as we work through near term market challenges and consumer behavior continues to adjust. Looking at the fourth quarter, the strong recovery observed in gross bookings in September continued into October, reaching 72% of '19 booking levels. In addition, we expect November and December to continue with these positive trends, benefiting from industry marketing events, such as the Buen Fin campaign in Mexico and Black Friday in Brazil. December also marks the start of the summer season in LATAM, which would also contribute to higher demand in the region. In this context, we are stepping up our marketing efforts, while keeping a heightened focus on affordability. To illustrate the point, on a weekly basis, we are launching a minimum of four unbeatable deals by country, while carefully balancing the price/financing perception. With respect to Best Day, we are on track with integration of the in destination activities segment and expect to fully finalize the integration of this acquisition as planned by first quarter next year. We are also making steady headwind in expanding Koin's acquisitions operations. In addition to adding new logos in the B2B business segment in Brazil, we are taking the first steps to launch Koin in Mexico early next year. Finally, we are in conversations with several suppliers across the region to expand our vacation rental inventory to meet current higher demand in this product segment. In summary, our continued focus on execution and our improved performance to date, together with the positive progression in demand are quite encouraging. We believe that while forecasting future performance still presents some challenges due to the ups and downs of the pandemic, we expect that the developments in vaccination front will generate the confidence to go back to longer travel patterns. The third quarter and year-to-date results reinforce our confidence in our strategy and represent focus and discipline in executing our long-term strategic plan. This concludes our prepared remarks. We are ready to answer your questions. Operator, please open the line for questions.
Operator: Thank you. [Operator Instructions] And today's first question comes from Ed Yruma with KeyBanc. Please go ahead.
Ed Yruma: Hey, good morning. Thanks for taking the question. And nice to see the sequential improvement. I guess a couple of things for me. First, I think you guys have done a really good job of right-sizing the business during the pandemic and making yourselves more efficient. Is there a way that we should think as bookings rebuild from an incremental margin perspective and how the shape may differ than what we've seen previously? And second, kind of as expected, you're going to draw down on the cash a bit, I guess, as people redeem vouchers. How should we think about the cash usage progression over the next couple of quarters? And when will that trough? Thank you.
Alberto Gaffney: Ed, Alberto. Good morning. Thanks for your question. On cash, I think we - let me - allow me to reiterate what we discussed in prior calls. I actually recall your question, okay. We are looking at the similar levels to what we have discussed, let's say, like a minimum cash balance for the year of around $250 million, okay, in particular, driven for the same reasons that you highlighted, okay. With regards to margins, okay, clearly, we are in the trajectory that we're actually reaching breakeven point, okay. We already, in the month of October, that we are closing those figures, okay. We are seeing already blue lines when it comes to, at an EBITDA level, that is particularly encouraging. And when you start looking at margins, let's say, top to bottom, okay, we are seeing take rate at similar levels to the ones we have been discussing, okay. Let's recall what we have mentioned in prior calls about having, let's say, a long-term trajectory on take at around 12%, okay, 12% plus, that is higher in around 50 basis points, we discussed pre-pandemic. With regards to structural cost, what we have said is that the structural cost should actually benefit from, let's say, around 60% operating leverage, meaning that if orders were to grow around 100, okay, structural cost should be growing no more than 40%. And that, I would say, points to a picture on what could be the profitability of the company going forward that it should be in excess of what we were discussing pre-pandemic in the long run.
Ed Yruma: Got it. And maybe one other follow-up. You indicated you're looking to kind of rebuild inventory for packages, given some of the demand signals you're seeing. I guess, how quickly can that happen? And do you expect that you'll be able to have enough kind of capacity for the peak travel season? Thank you.
Alberto Gaffney: We currently see - I think that that answer has maybe two different ideas. Number one is the company continues to be, let's say, on the sidelines when it comes to, let's say, securing inventory as we have done pre-pandemic, okay. Remember that we were actually at around, let's say, 5% - between 5% to 10%, no more than that of, all the gross bookings we were selling were actually secured or paid in advance on capacity at hotels and or airlines, okay. Since the pandemic struck, we were completely on the sidelines of that, and we are not thinking about starting to push into that arena as of, let's say, the next few quarters. And we do not see a reason to do it given, number one, the ups and downs of the business. And number two, we see capacity, so there's no need to do it, okay. Of course, we see that as a profitable business, and that will be - we'll put our foot on the gas pedal as we are fully recovered because we see there's opportunity to gain extra margin. But for the time being, we will not do it.
Damián Scokin: In addition, and in general, inventory, what we are seeing is that airlines are increasing their network significantly in Latin America for the upcoming two to three months. So everything that's available from the airlines and the hotel is going to be in this regard. And we are seeing increased levels of inventory on both areas. So we are confident that the pace of the recovery will be sustained over the next few months.
Ed Yruma: Okay, good. Thanks so much.
Operator: [Operator Instructions] Our next question comes from Kevin Kopelman with Collin and Company. Please go ahead.
Unidentified Analyst: Good morning. This is Emily on for Kevin. Thanks for taking my question. You mentioned a new marketing campaign launching in Q4, focused on affordability. And I was just wondering if you could help us understand how that will affect revenue take rate, installments and sales and marketing expenses in the quarter? Thanks.
Damián Scokin: Hi, Emily, thanks for your question. This is Damián. The new campaign was extremely [indiscernible] still running. And what we are pointing towards is getting back to travel and being able to afford the travel as we always have been positioned in the market position. We do not expect that this will represent obviously - any lower take rate. Remember that, as we mentioned during the prepared remarks, we have inherently mitigated our revenue management capabilities. So we are being much more effective than in the past in increasing demand without having to give up significantly on the take rate. So the numbers that Alberto referred to in the previous question, should be sustained over the next few months.
Unidentified Analyst: Very clear. Thank you.
Operator: Thank you. And ladies and gentlemen, this concludes your question-and-answer session. I'd like to turn the conference back over to the management team for any final remarks.
Damián Scokin: Thank you very much. Just wanted to thank all of you for your participation and interest in Despegar. We hope you all remain healthy and safe and thanks for joining us today. Looking forward to seeing you on our next call. Bye.
Operator: Thank you. This concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines. And have a wonderful day.